Operator: Good day, and welcome to the CBL Properties Fourth Quarter Earnings Conference Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Katie Reinsmidt, CIO. Please go ahead, ma'am.
Kathryn Reinsmidt: Thank you, and good morning. Joining me today are Stephen Lebovitz, CEO; and Farzana Khaleel, Executive Vice President and CFO. This conference call contains forward-looking statements within the meaning of the federal securities laws. Such statements are inherently subject to risks and uncertainties. Future events and actual results, financial and otherwise, may differ materially. We direct you to the company's various filings with the SEC for a detailed discussion of these risks. A reconciliation of supplemental non-GAAP financial measures to the comparable GAAP financial measures was included in the yesterday's earnings release and supplemental that will be furnished on Form 8-K and is available on the Invest section of the website at cblproperties.com. This call is being limited to 1 hour. [Operator Instructions]. If you have questions that were not answered during today's call, please reach out to me following the conclusion of the call. I will now turn it over to Stephen.
Stephen Lebovitz: Thank you, Katie, and good morning, everyone. Before I talk about our results for the quarter and the year, I want to start off with some commentary on our new bank facility, which closed last week. This $1.185 billion financing, which recast our existing term loans and lines of credit, is a huge accomplishment for CBL. It provides us with the runway and flexibility to achieve our redevelopment operational goals over the next several years. 16 banks are part of the new facility, and we appreciate their support and vote of confidence. I'm also proud of everyone in the CBL organization for all their hard work and accomplishments in 2018. We have an incredible team of professionals at CBL, and I'm constantly impressed by the dedication and creativity they demonstrate every day. We are pleased to deliver results in line with expectations set forth at the beginning of the year, notwithstanding the challenges that materialized. This result was accomplished despite bankruptcy filings by 2 department store chains as well as overall pressure on several national retailers. In addition to the new credit facility, we successfully executed a number of important financial goals in 2018 with more than $340 million in financing activity. This included 2 non-recourse property-level financings at very favorable rates. We also completed more than $100 million in gross dispositions, supplementing free cash flow and contributing to lower total debt at year-end. And in January, we completed the sale of Cary Towne Center, and a deed in lieu of on Acadiana Mall, which reduced overall debt by another $160 million. As I stated, our operational results for the full year were in line with guidance and expectations. Fourth quarter same-center NOI improved from the year-to-date trend with NOI declining 4.4% and full year same-center NOI declining 6%. This improvement was due to both effective management of expenses and contributions to the top line from new leasing and project openings. Adjusted FFO for the fourth quarter was $0.45 per share, and for the full year, it was $1.73 per share. We are never satisfied with negative numbers and our entire organization is focused on stabilizing NOI and FFO and returning the company to growth. We ended the year with portfolio sales of $377 per square foot compared with $375 per square foot for the prior year period. Additionally, portfolio occupancy demonstrated improvement with a 110 basis point sequential increase to 93.1%. With 2018 behind us, we are executing on our strategic priorities for 2019. Between the bankruptcy filings of Bon-Ton and Sears, we have more than 40 anchor closures. As our guidance for this year indicates, the rent loss from anchor closures as well as rent reductions and store closures related to bankrupt or struggling shop tenants is having a significant near-term impact to our income stream. At the same time, we now have the opportunity to transform our properties by bringing in newer, more dynamic uses, which will help to stabilize income and strengthen our portfolio for the long term. These new users will drive greater sales and traffic and solidify the market-dominant position of our properties for years to come. While on the past, our tenants were limited to primarily national apparel retailers, today the uses are wide ranging. In 2018, over 67% of our total new leasing was executed with non-apparel tenants, including dining, entertainment, value and service. We are currently under construction and have agreements executed or in active negotiation on three multifamily projects, 11 entertainment operators, 11 hotels, 38 restaurants, three fitness centers, three medical uses, three self-storage facilities, two grocers and a number of other nonretail uses. It's encouraging to report the amount of activity that we have going on across our portfolio. These deals take time to execute, but they will be positive additions to our properties. We are also paying close attention to the capital requirement of backfilling closing stores. I want to highlight that across our portfolio, we have a dozen anchor replacements that are expected to occur that require little or no investment by CBL. While we have certain properties where a more significant investment is warranted to create higher long-term value, we are closely watching the total spend through this process. We expect total annual redevelopment spend to remain in the $75 million to $125 million range for the next several years. We'll continue to secure construction financing for the larger projects such as Brookfield Square. Following our dividend reduction last year, at the midpoint of our guidance range, we'll generate approximately $220 million of cash flow after the common dividend, providing sufficient liquidity to fund these projects on a leverage-neutral basis. We are confident that the strategies we are executing on to redevelop our properties and diversify our tenancy in 2019 will position our portfolio for stabilization in 2020, and ultimately, a return to growth. I will now turn the call over to Katie to discuss our operating results and investment activity.
Kathryn Reinsmidt: Thank you, Stephen. We made solid headway in 2018 towards recouping occupancy loss from bankruptcy -- bankruptcies and store closings in recent years. During the quarter, we executed over 1.3 million square feet of leases, bringing 2018 leasing activity to 4.2 million square feet. Same-center mall occupancy for the fourth quarter was 92.1%, representing 130 basis point increase sequentially at a 10 basis point decline from the prior year quarter. Portfolio occupancy of 93.1% represents an increase of 110 basis points sequentially and a 10 basis point decline compared to last year. Bankruptcy-related store closures impacted fourth quarter mall occupancy by approximately 70 basis points or 128,000 square feet. Occupancy for the first quarter will be impacted by a few recent bankruptcy filings. Gymboree announced the liquidation of their namesake brand and Crazy 8 stores. We have approximately 45 locations with 106,000 square feet closing. We also have 13 Charlotte Russe stores that will close as part of their filing earlier this month, representing 82,000 square feet. Earlier this week, Things Remembered filed, we anticipate closing most of their 32 locations in our portfolio comprising approximately 39,000 square feet. On a comparable same-space basis for the fourth quarter, we signed over 600,000 square feet of new and renewal mall shop leases at an average gross rent decline of 9.1%. Spreads on new leases for stabilized malls increased 2.6% and renewal leases were signed on an average of 11.3% lower than the expiring rent. As we've seen throughout the years, certain retailers with persistent sales declines have pressured renewal spreads. We had 17 Ascena deals and 2 deals with Express this quarter that contributed 550 basis points to the overall decline on renewal leases. We anticipate negative spreads in the near term but are optimistic that the positive sales trends in 2018 will lead to improved lease negotiations with this year. Same-center sales for the year reached $377 per square foot compared with $375 per square foot in the prior year. Our portfolio generated healthy increases in October and November, offset by declines in December. Categories that performed well included electronics, fast casual restaurants, shoes and health and wellness. Regionally, sales were strong throughout the year in our Texas properties. Our anchor redevelopment program is making significant progress. While we are experiencing the impact to our income in the near term, we will build back a more diversified higher credit quality income stream as we make progress in replacing closed anchor locations. Our properties are not only the favorite shopping destination in their market, but are becoming the go-to place for entertainment, dining, service, lodging and more. And we have a ton of activity occurring across the portfolio. I'll review the projects currently under construction, but I encourage you to review the department store activity schedule that we included in our submittal package. It details the current status of every Sears and Bon-Ton box in our portfolio whether it is operating, closed, owned or leased. We have an impressive amount of deals that are in LOI stages or active negotiation. So you can expect to see announcements from us on those deals as they come to fruition. At Jefferson Mall in Louisville, Kentucky, we celebrated the grand opening of Round 1 bullying and amusement and the former Macy's in November. This new use was very popular over the holidays and is generating considerable traffic at the center. Aubrey's restaurant and Panda Express opened here in Chattanooga at Northgate Mall in the former Sears Auto Center space this month. Bonefish Grill and Metro Diner will open in the former Sears Auto Center location at Volusia Mall in Daytona Beach in the spring. Construction is progressing on the first phase of the redevelopment at the former Macy's at Parkdale Mall. Dick's Sporting Goods, Five Below and HomeGoods will open this summer. Construction is well underway on the Sears redevelopment of Brookfield Square in Milwaukee, Wisconsin, which is one of the stores we purchased in 2017 through a sale leaseback. The first phase of this project includes a new Marcus Theatre, BistroPlex diamond movie experience and Whirlyball entertainment center. Two restaurants have already opened in our lots on the Sears' parcel and construction has commenced on the new hotel in convention center. We are under construction on Dave & Buster's at Hanes Mall in Winston-Salem in former shop space near the Sears wing with the opening scheduled for this spring. In Greensboro at Friendly Center, O2 Fitness is under construction, replacing a former freestanding restaurant. The new 27,000 square foot location will open next month. Here in Chattanooga, we opened Cheesecake Factory in early December on a pad in the Sears parking lot. Since their opening, they've enjoyed a strong reception with continuous long waits, which has resulted in increased traffic to the mall. Sears closed their story here in January, and we expect to start construction and the redevelopment of this building in the spring. This project will include Dave & Buster's, a boutique hotel, Dick's Sporting Goods, additional restaurants and office space. The hotel will be developed in the joint venture structure with a well-regarded hotel developer. Similar to other development joint ventures, we have contributed land as our portion of the equity, which allows us to realize value from our assets and to share in future upside. I will now turn the call over to Farzana to discuss our financial results.
Farzana Mitchell: Thank you, Katie. In January, we closed on our new $1.185 billion credit facility with the maturity date of July 2023. This financing achieved a number of important goals for us. With this closing, we've addressed all of our unsecured maturities until 2023. We have also simplified our covenants. Going forward, we have one set of covenants calculated in a consistent manner with the unsecured notes. We have also right sized our facility, eliminating a large unused fee, but still providing more than adequate capacity. At closing, we utilized our new line of credit to reduce our outstanding term loan -- loans by $195 million to a total of $500 million. As a result, at closing, we had $420 million outstanding on our lines of credit leaving $265 million of remaining borrowing capacity. We anticipate utilizing disposition proceeds and excess cash flow to reduce this balance over time. We have a release provision under the new facility to unencumbered properties as we make amortization payments on the term loan as well as release provisions for disposition or long-term property-level financings. Using the midpoint of guidance, we estimate $220 million in cash flow after common dividends for 2019. This is more than sufficient to fund our redevelopment and maintenance Capex as well as a term loan amortization of $35 million per year. We will also continue to be active in the disposition market, and to the extent we complete transactions, this will serve to supplement our free cash flow. We have provided pro forma covenants for the new credit facility in the supplemental as well as the metrics on the unencumbered pool that will support the covenants going forward. The conversion of the line of credit and term loans to a secured facility increased the secured debt ratio to 34.9%. The unencumbered pool is supported by NOI from our healthy and stable associated centers and community centers as well as stable malls, including a number with redevelopments underway or in planning. In January, we completed the sale of Cary Towne Center and also completed the transfer of Acadiana Mall. The $163.5 million of related debt has been extinguished, which will be reflected in our debt balance in the first quarter. We also expect to record a gain on extinguishment of debt related to both transactions, which we will exclude from adjusted FFO. We have four secured loans maturing in 2019. Two loans secured by Honey Creek and Volusia Mall mature in July. We've been in discussion with the lender anticipate being able to announce a favorable resolution soon. We have $4.6 million loan secured by a phase of our Atlanta outlet center that we anticipate refinancing. We expect to wrap up these financings early in the year and begin focusing on 2020 maturities. We have one additional secured mortgage that comes due in December. This loan was previously restructured and extended and continues to perform. We will evaluate our options and make a decision on our action plan closer to maturity. Our total pro rata share of debt at year-end was $4.66 billion, a reduction of approximately $105 million from year-end 2017, and a $27 million sequential decline. At quarter end, net debt-to-EBITDA was 7.3x compared with 6.7x at year-end 2017. The increase was primarily due to lower total property level NOI. However, this should improve during the year with a reduction in debt related to Cary and Acadiana as well as property-level and term loan amortization. Fourth quarter adjusted FFO per share was $0.45, representing a decline of $0.11 per share compared with $0.56 per share for the fourth quarter 2017. For the full year, adjusted FFO was $1.73 per share compared with $2.08 per share in 2017. Major variances included $0.08 per share dilution from asset sales and noncore properties, $0.20 per share from lower NOI-related, primarily to retailer and anchor bankruptcies. Other vacancies included -- other variances included $0.02 per share higher G&A, primarily related to retirement expense, and $0.02 lower gains on outparcel sales. During the quarter, we recognized impairments on 2 properties, Honey Creek Mall and Eastland Mall. I want to spend a minute to walk through these circumstances since both are unique. Honey Creek is secured by a nonrecourse loan that matures in July and is cross-collateralized and cross-defaulted with Volusia more. As I mentioned, we've been working with the lender towards a favorable resolution ahead of maturity. However, as a result of the eminent loan maturity, the whole period is shortened. Coupled with changes to the projected NOI, the property due to multiple anchor closures, our analysis determine that an impairment was appropriate at this time. Eastland Mall has been the hardest hit from anchor closures, losing 4 department stores. We are in early stages of exploring several redevelopment options that would create future value, while also limiting our capital investment. However, the impact of the lost rents and cotenancy related to the anchor closures on projected cash flow necessitates an impairment at this time. For the fourth quarter, same-center NOI decreased 4.4%, a sequential improvement from the third quarter same-center NOI. With this pickup, for full year 2018, we recorded a 6% decline in same-center NOI. This decline was primarily driven by lost rent related to retailer bankruptcies and rent reductions for certain struggling retailers. Expenses improved over year-over-year as we worked to effectively manage costs. As Stephen indicated, our expectation for 2019 include assumptions for lost rent from anchor and store closures as well as lower rent from renewals with struggling retailers. The liquidation of Gymboree stores will result in a loss of gross annual rent of $3.7 million from our roughly 45 stores. This week, Charlotte Russe filed for bankruptcy and announced 13 store closures in our portfolio, comprising $3.3 million gross annual rent. After the closures, we'll have 29 stores remaining, totaling $5.5 million in gross annual rent, which would be addressed if they end up liquidating. Things Remembered also filed, and we expect the majority of their stores will close. We have 32 locations with approximately $2 million in gross annual rent. Our leasing team is already working on finding replacement for these locations, and our specialty leasing team will work to generate temporary income until a permanent replacement is signed. We are also focused on expense management and have taken steps to decrease overhead expense with reductions to executive and officer compensation taking effect in 2019. We anticipate interest expense to be flat to slightly up in 2019 as the higher rate on the credit facility is offset by interest savings for mortgage financings, lower total debt and a reduced unused facility fee. We are providing an initial FFO as adjusted per share guidance of full year 2019 in the range of $1.41 to EUR 1.46 per share, which assumes a same-center NOI decline in the range of 6.25% to 7.75%. Consistent with our approach last year, our guidance includes a top line reserve to take into consideration the impact of unbudgeted bankruptcies, store closures, rent reductions and cotenancy that may occur. After reviewing our watch list and other assumptions, which set the reserve in the range of $5 million to $15 million to capture any losses that are above and beyond our budgets. I'll now turn the call over to Stephen for concluding remarks.
Stephen Lebovitz: Thank you, Farzana. As I said earlier, we have made tremendous progress on our strategic priorities and are well positioned to succeed despite the challenges we face. Our new credit facility removes short-term financial pressure and allows us to focus on achieving longer-term goals. We are actively elevating our assets, generating new income streams and seeking out partnerships that supplement our capital resources and broaden our asset base. We are watching our capital allocation to ensure we are investing the right amounts in the right projects and making tough decisions when they are necessary. Our goal, as we move through 2019, is to position the portfolio for stabilization in 2020 and return CBL to growth. And I'm confident that we have the strategies in place to achieve this goal. Thank you for your time today. We'll now open the call to questions.
Operator: [Operator Instructions]. And our first question comes from Todd Thomas with KeyBanc Capital Markets.
Todd Thomas: Just a little bit of clarification around some of the different buckets and same-store guidance. I was just curious, Farzana, so you mentioned that there is $5.5 million in gross annual rent from the Charlotte Russe stores that are not currently closing. How is that factored into the guidance? Would that hit the reserve? Or is that factored into one of the other buckets?
Farzana Mitchell: Todd, some of it is in the -- embedded in the numbers, but some of it will come off from the reserve. So approximately $3 million will be in the reserve, the $5 million to $15 million reserve that we have established.
Todd Thomas: Okay. So some of the bankruptcy impacted tenants if they close stores that are in addition to what's already known, that would basically flow through the reserves of the $5 million to $15 million?
Farzana Mitchell: That's correct. That's correct.
Todd Thomas: Okay. And, Farzana, so you talked about some additional dispositions throughout 2019 to supplement cash flow. Are you currently marketing any assets for sale today? And are there any dispositions embedded in the 2019 guidance?
Farzana Mitchell: Well, no. Dispositions are not embedded. However, what we say is that we will supplement our cash flow, the free cash flow for investments and reduction in debt. So we generally, every year, have about $30 million to $35 million in proceeds from our parcel sales, so that's one component. And then the other component is certain opportunistic asset sales that we will explore as we go forward. And we are working on some smaller ones, and we will let you know when we are able to accomplish those results.
Stephen Lebovitz: Yes, and we don't like to comment on what we might be marketing, because there's so many different ways you could market assets, whether it's through brokers or privately. So -- and a lot of times they're also expiratory just to get a sense for the market. So I think like Farzana said, it's -- we don't included it in guidance, and as something happens, then we announce it, then we would make the adjustment.
Operator: And our next question comes from Craig Schmidt with Bank of America.
Craig Schmidt: I wonder if you knew the number of assets in Tier 1 out of the 18, they're unencumbered? And then how many of the 33 assets in Tier 2 are unencumbered as well?
Farzana Mitchell: Well, the asset category has changed a little bit since we closed the loan. So when we did close the loan, we had 3 assets that were Tier 1. And now since we have changed the sales per square, they have 4 assets. So it's just -- and some asset -- one of the asset has moved on to Tier 2 and one has moved on to Tier 3. So it's sort of a mixed bag in terms of what's in Tier 1 and Tier 2 for the Wells Fargo credit -- lines of credit versus what's bond. But like I mentioned, for the bonds portfolio, the unencumbered piece that's left, we have a number of community centers and a number of associated centers and a big portion is our Tier 2 properties. I don't have a count right now to give you, but the total count for the Wells Fargo line is about 17 properties in total.
Craig Schmidt: Okay. And then you currently have 1 of your 7 redevelopment projects under development from Tier 3. I just wondered how active will you be in future redevelopments with Tier 3 projects.
Stephen Lebovitz: Yes, Craig, it -- I mean, for the most part, the redevelopments are focused on the higher sales per square centers. Although, in the case of Brookfield Square, it's misleading just because of the quality of the location and the market. And the project that we're redeveloping, the Sears, is outward facing theater, entertainment, restaurants, hotel, conference center. And so we are creating value even on a freestanding stand-alone basis with that type of project. And that mall, over time, will continue to transition and have redevelopment opportunities. It's a great location, tons of traffic on the roads and great visibility and its growing market. So we evaluate each one individually. But that's the circumstances there.
Operator: And our next question comes from Rich Hill with Morgan Stanley.
Richard Hill: Maybe I can just start off with talking about other income. It looks like that increased, at least compared to our estimates, rather significantly compared to the prior quarter. Farzana, could you maybe walk through what was included in that?
Farzana Mitchell: Yes, there is a reclassification going on, and I think you probably have seen that from other companies reporting that as well. So they are certain income components that used to be included in the base rent, some of them were in that tenant reimbursements. So we have moved reclassified from tenant reimbursements to the other line -- to the other category, and also some lease income from other rent to other income, which is like some of the branding and sponsorship type income.
Richard Hill: Got it. I'll probably follow-up off-line just to get a little bit more detail, to make sure it makes sense. But I did want to talk about your -- just a quick separate question, your NOI unencumbered assets. Just to make sure we're thinking about it correctly. I see around $160 million of -- $168.5 million of unencumbered NOI, is that right?
Farzana Mitchell: Yes. The total unencumbered NOI is approximately $365 million. So it's now divided. It's split in half, half of it went to the new credit facility and half of it is still in the unencumbered pool.
Richard Hill: Got it. And so that unencumbered NOI, I know you give negative 7% same-store NOI growth overall. Do you have any thoughts on how that unencumbered same-store NOI is trending compared to the overall guidance?
Farzana Mitchell: No. I don't have that information, Richard.
Operator: And our next question comes from Caitlin Burrows with Goldman Sachs.
Caitlin Burrows: Maybe just in terms of the same-store NOI. In 2018, that came in right at the midpoint of your guidance. So I was just wondering for 2019? And how you think about that reserve, which is slightly smaller. Would you say this reflects a smaller watch list? Or how would you think about how you arrived at that reserve amount?
Farzana Mitchell: Yes. Most of the bankruptcies that we know about now is all baked into our top line number. So what we have left is a smaller watch list. And so we -- obviously, the reserve has been lowered because of that. So this is all unknown from now on, whatever we -- that comes up, so we've provided for the $5 million to $15 million bankruptcy reserve for that.
Caitlin Burrows: Okay. And then also, I was wondering if you could just remind us in terms of same-store NOI, those settings would be impact of your anchor redevelopments, and if it does, do you how much of a positive kind of benefit that had in 2018? And what you expect for 2019?
Kathryn Reinsmidt: Caitlin, we actually include some benefit if there is a redevelopment, but we also deduct the lost anchors that you can see on our same-store NOI reconciliation that we provided to get to the midpoint, we have that $1.8 million deduction from the anchor closures that's occurring. There is some benefit, but it's kind of all recycled in together. I mean, hopefully, you're -- we're doing accretive redevelopments that benefit NOI over the long term. So ultimately, it should improve the growth rate. But there is not a material uplift in 2019 relative to what we're seeing on the anchor closure side.
Caitlin Burrows: Got it. Just because -- there is a little offset from the improvement that you are getting?
Kathryn Reinsmidt: Yes. Exactly.
Operator: And our next question comes from Christy McElroy with Citi.
Christine McElroy: Understanding from Todd's question that you're not giving disposition estimate. But just as we think about the $220 million of free cash flow expectation, can you sort of give us the CapEx breakout for 2019 in terms of what you expect to spend this year on development and redevelopment? And then sort of the leasing CapEx bucket and the R&M CapEx bucket? And then sort of what's left over for the line of credit pay down?
Farzana Mitchell: Yes. We've noted that we have approximately $220 million in free cash flow after dividend payments. And we are expecting similar CapEx as we had in 2019, around $70 million, $75 million. And if you also add in some outparcels sales that we have typically done every year, our cash flow should more than cover the amortization, not only the property-level amortization, but also the term loan amortization. And also have sufficient funds between $75 million to $125 million as we noted to spend on developments. So it should pretty much balance out.
Christine McElroy: Okay. And then anything sort of in terms of line of credit pay down from where the balance is today? Anything sort of left over? Is there anything left over, do you go to that? Or is that sort of any dispositions that you do with the line of credit pay down?
Farzana Mitchell: Yes. Well, generally speaking, the disposition proceeds have reduced our line of credit over the years. And even last year, we had a considerable decline in our debt -- total debt balance by $100 million, and largely it came from disposition proceeds. So that will continue as we have dispositions that will bring our lines of credit down. And also, the term loan will keep coming down because we are making amortization payments.
Kathryn Reinsmidt: Christy, I'd also mention, the $75 million to $125 million that Farzana talked about, we do get construction loans on some of our construction, our major projects like Brookfield. So we wouldn't -- we would be using construction sources. It's a debt-for-debt swap, but that goes into that calculation as well.
Christine McElroy: Okay. Got you. And then just as you think about the dividend level and maintaining sort of within the REIT rules, your payout. Maybe if you could just walk us through sort of a taxable income cancellation, now that you've got your budgeting done in terms of you've got the NOI decline, it sounds like interest expense is flat-to-up, but then to the extent that you expect to generate or use NOLs to offset taxable income.
Farzana Mitchell: We just don't generally walk you through a taxable income calculation because it is a complex one, and I don't think it would be appropriate for us to do that. But I will tell you that as we looked ahead in 2019 and adjusted our dividends, it is to pretty much follow the taxable income that we expect to have in 2019. It will have some losses like for Acadiana Mall that will be part of it and Cary Towne Center. so we -- that's really where it will be. This is where we are projecting. But we watch it every quarter and we review it and we will make adjustments if we feel that, that's appropriate. But at this time, our dividend is set for the next quarter, or this quarter at $0.175 -- $0.075, sorry.
Operator: And our next question comes from Tayo Okusanya with Jefferies.
Omotayo Okusanya: First of all, just congrats on all the progress with the debt refinancing and as well as retenanting space, that's good information and good progress there. In regards to your loss provisions of rents, the $5 million to $15 million. Just from your initial comments about the 3 bankruptcies so far this year, that kind of eats up about half of it at this point. If you end up in a situation where you do have a liquidation of 1 or more of the 3 tenants, and then you continue to kind of have store closures from some of your weaker tenants and your top 20 like Ascena, or H&M. You're talking about closing stores, Forever 21 is doing some rent modifications. I guess how comfortable are you just with that $5 million to $15 million range? And is there any risk it could get bigger?
Farzana Mitchell: We have baked in all the bankruptcies that I just mentioned in my prepared remarks. So the $5 million $15 million is pretty much open right now for us to use if we have not budgeted them and we have some new information that comes up. But so far, all of the bankruptcies that I mentioned, they are already baked into our numbers, top line numbers.
Omotayo Okusanya: So the $5 million to $15 million is an additional provision?
Farzana Mitchell: That's correct.
Kathryn Reinsmidt: And we -- the only one that's outstanding is the Charlotte Russe where we mentioned that we had that $5 million annual gross rent exposure, but obviously, it would be prorated for -- if they happen to liquidate, it would be prorated for whenever their liquidation will occur. And we do also budget tenant-by-tenant or space-by-space. So some the stores are already budgeted to have rent declines or closures within our base budget. So it wouldn't be that full $5 million impact coming out of that reserve.
Omotayo Okusanya: Okay. But if you do have the liquidation of any of those bankruptcies, that's nodding your numbers. You just kind of have of the stores you expect to close right now, a liquidation will eat into the loss reserves, correct?
Kathryn Reinsmidt: Well, most of is -- I mean, Gymboree was pretty much all the store closed any way, except for, I think, 3 of 4 Janie and Jack locations that we had. And Things Remembered, right, expect them to close almost all, if not all of their locations. So that was already factored in.
Omotayo Okusanya: Into the numbers. Okay. That is helpful. And then just in regards to -- I know this is a very popular question, but within your markets, can you just talk a little bit about, again, retailers who historically have not really had stores in your markets, who you are starting to attract with some of your redevelopment projects?
Stephen Lebovitz: Yes, no. Thanks, Tayo, and thanks for your congrats on the loan recast and the development. So like I've said in my remarks, we've got a lot of different kind of uses, non-apparel uses that we're adding. And it's really a combination coming from all different types of areas. And we're working with a number of alternative uses, mixed-use, like I said, hotels and multifamily. But also, within retail, there is a lot of transaction, there is new names that are e-tailers that we are in active discussions with and that we're meeting with, and hopefully, we'll be able to announce those in the not-so-distant future. And then the entertainment users that we're adding are new to the market. Dave & Buster's will be new, Winston-Salem or Chattanooga, when they open. So really almost everyone we're working with is new to the market and that's -- our goal is to use the closed department stores to transition these properties into different types of open-air and more entertainment and food and mixed-use based projects.
Operator: And our next question comes from Linda Tsai with Barclays.
Linda Tsai: When you discussed the multiple anchor closures that resulted in impairments to Honey Creek, and is there other models in your portfolio that could see a similar situation in '19?
Farzana Mitchell: This -- the impairment is a quarter-by-quarter process. We don't know at this point that we will have any other properties that will meet that criteria. But these two properties that I mentioned were significantly impacted because they had multiple anchors that left the center. So at this moment, these 2 other ones that we have taken impairment on.
Linda Tsai: Okay. And then on Page 5, in terms of the reconciliation to same-store NOI, there is a couple of categories where you lump in 2 item. Can you give us like a breakdown of like the contribution, so for example, lease modifications and cotenancy that has a negative 1.4% impact, like 4 percentage of that is lease modifications versus cotenancy.
Kathryn Reinsmidt: Yes, we're not going to be able to break it down to you any further than that, Linda, because that's our best estimate from each one of those larger categories. Obviously, it's all little bit frangible, but we kind of bucketed those together because they made sense.
Stephen Lebovitz: Yes. Linda, also, just back to your first question. I mean, we do have clarity now on Sears, which is good. So, I mean, we know department stores that are closing. We know which are staying open at least in the near term. So I think that gives us some comfort when we're looking. And we've also, like I said, had a lot of success in backfilling these different department stores. And we have several that are opening, a couple that have opened, so a lot that are opening this year. And so that will all counter any pressure on the properties from an impairment point of view.
Linda Tsai: And then just finally, like, looking at Page 37 to 38 in terms of the redevelopment plans for Sears and Bon-Ton, it seems like you guys are going to be really busy. Are there any plans to do more hiring to help support these projects?
Stephen Lebovitz: Well, the short answer is no. But we had, over the years, a pretty active new development program. And so we've redeployed that expertise and that team to the redevelopments. And also within leasing, we set up redevelopment specialists, and it's working well. And yes, there is a lot out there and everyone's really busy. But we feel like it's manageable, and we're -- as Farzana said, we're very cognizant of our G&A and managing expenses and we've taken steps to reduce it for this year, which we feel like is what we need to do because, like I said, our goal is really to get back on track from stability in our NOI and FFO and return the company to growth.
Operator: And our next question comes from Michael Mueller with JPMorgan.
Michael Mueller: I think it was about $9 million of rent tied to the 3 bankruptcies that you mentioned. Was that $9 million amount, was that a calendar year amount? Was that an annualized amount? And what's currently in the run rate as you start 2019 that hasn't gone away?
Kathryn Reinsmidt: Yes, it was an annual number, gross annual rent, so it's not prorated for the impact to the Sears. And it's really -- we'll have to see when the stores close for what that final impact will be. But we have included those numbers in our base guidance outside of the reserve.
Farzana Mitchell: So more conservative than not. That's what we have done.
Operator: And the next question is a follow up from Christy McElroy with Citi.
Christine McElroy: Just a couple of quick follow up. Just on Honey Creek and Volusia, I think, Farzana, you said that you're coming to a resolution with the lender, and I realized you wrote down Honey Creek. Can you just give us a little bit more color on, will that involve a reduction in the coupon and extension of those loans? Or maybe just some more color on that.
Farzana Mitchell: I'd like to finish our negotiations before I give you any information. So it is underway. We hope to conclude it in next 60 to 90 days, and we'll obviously let you know.
Christine McElroy: Okay. And then can you say what the debt yields were on Acadiana and Cary Towne Center?
Farzana Mitchell: Not really, because they -- we haven't been managing Acadiana for a number of months, almost over a year, so I don't know what the NOI is today or when it went back to the -- it was -- there was a note purchase on it. The lender sold the note and the note purchaser -- we ended up giving a deed in lieu of foreclosure to the note holder. So we are not aware what the NOI -- generally, what the NOI was. So I'm not so sure what they bought it for as well. But our debt, of course, was pretty high, so I want to say that debt yield is -- was very low.
Christine McElroy: Okay. And then just lastly on the -- in terms of the 2019 commencement spreads that are in there, the negative 11.6%. Would you expect, based on the leasing, that you continue to do for 2019 commencement? Would you expect that to hold as we kind of go through the year and you fill out that leasing?
Stephen Lebovitz: Yes. We think it's going to get better. I mean, the sales have stabilized and we had an increase. A lot of the leasing that we did, involved high occupancy cost of renewals. And so that was impacting the negative 11%. And we feel like the environment has improved. It's -- I think it's probably too optimistic to say it'll go positive, but we definitely think there'll be progress.
Operator: And the next question is a follow up from Caitlin Burrows with Goldman Sachs.
Caitlin Burrows: I guess, I was just wondering, since somebody else asked about it and I was wondering, rather than have to have multiple conversations, on the idea of the tenant reimbursement income amounts and other income, could you give a little more detail on what that shift is? And when you net it together, is it both included in same-store? So when you consider same store, there is not really an impact?
Farzana Mitchell: Yes. From a same-store basis, there will not be an impact. It's still in the revenue line item. If you can think of it that way, it's in the top line. So apples-to-apples, same-center NOI, and the aggregate is comparable. Only the shift in the category, it's shifted from tenant reimbursements and minimum rents to other.
Caitlin Burrows: And any straightforward details or reasoning on why that is? Or it's just the way it is now?
Farzana Mitchell: This is a new accounting rule change, standards that change, and that's the reason for the reclassification.
Kathryn Reinsmidt: Caitlin, it's revenue that's related non-leased revenue. So it's like for locations that are owned by the...
Farzana Mitchell: Others. Yes.
Farzana Mitchell: And they pay us CAM, you have to pull out the tenant reimbursement and move them into other. And then for branding income, that's like advertising and things like that, that's not related to leases. That comes out of other rents and moves into other income. [Indiscernible] if the offers change.
Operator: And the next question comes from Haendel St. Juste with Mizuho.
Haendel St. Juste: A couple of quick ones for me. Steve, I guess, I was hoping you could elaborate on some comment you made earlier of expected stabilization in 2020. Does that statement reflect an expectation for improved store closures, leasing spreads, same-store NOI? Maybe some color on that. And if so, what gives you the confidence to make that statement?
Stephen Lebovitz: Sure. I'd say it's a couple of things. First of all, it is early in the year, so I don't want to be overly optimistic. But we do go through a process of budgeting out. And just looking at where we've been from cotenancy impact, that will burn off, backfilling of department stores, leasing progress that we'll continue to make, and then the -- just the general discussions we'll have with retailers, we do feel like we're going to be in a better position in 2020. And there is a lot of wildcards and variables that can come into play between now and then and, obviously, we won't be doing 2020 guidance until a year from now, but we're to talk about it and it is really the combination that drives that sense of optimism.
Haendel St. Juste: Got it. Got it. Okay. And then I'm curious, how your higher cost of capital might be impacting underwriting hurdles for your redevelopment projects? I'm wondering, first, I guess, do you have higher return hurdles these days? And has that caused you to postpone or delay any projects you're considering starting?
Stephen Lebovitz: Yes. We've definitely looked hard at our redevelopment projects. Like I said, we have a dozen that -- where we're spending little or no money. So we've looked to be creative as to the strategy, so we can backfill without using capital. And we're limiting the investment to ones where we see it's accretive to the asset or the value. And we've gone back and challenged our redevelopment team to reduce cost where possible. We do -- there is pressure on construction cost that has been a challenge and the rent levels, we want to make sure that we're setting up the users for success. So that's important to be realistic in our performance. But it's something that is definitely -- is very top of mind for us as we look at just how precious every dollar is.
Operator: And this concludes the question-and-answer session. I would like to turn the conference back over to Stephen Lebovitz for any closing remarks.
Stephen Lebovitz: Thank you everyone for your participation today, and we look forward to talking to you in the future or seeing you shortly. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.